Operator: Good evening, ladies and gentlemen, welcome to Chunghwa Telecom Conference Call for the Company’s Second Quarter 2013 Operating Results. During the presentation, all lines will be on listen-only mode. When the briefing gets finished, directions for submitting your questions will be given in the question-and-answer session. For your information, this conference call is now being broadcasted live over the Internet. Webcast replay will be available within an hour after the conference is finished. Please visit CHT IR website, www.cht.com.tw/ir under the IR Calendar Section. Now, I would like to turn it over to Fu-Fu Shen, the Director of Investor Relations. Thank you. Ms. Shen, please go ahead.
Fu-fu Shen: Thank you. This is Fu-Fu Shen, the Investor Relations Director of Chunghwa Telecom. Welcome to our second quarter 2013 earnings results conference call. Joining me on the call today are Dr. Lee, Chairman; Mr. Shih, President; and Dr. Yeh, CFO. During today’s call, management will first discuss business, operational and financial highlight which will then be followed up by Q&A. On slide number two, please note our Safe Harbor statement. Now, I would like to turn the call over to Chairman Lee.
Lee Yen-Sung: Thank you, Fu-Fu. Hello everyone. This is Yen-Sung Lee. Thank you all for joining our second quarter 2013 earnings result conference call. Before Mr. Shih lead you through the business overview, I would like to update you regarding the progress of our business operation. Moving onto slide three, for our second quarter operating results, we are proud to say that we continue to outperform our competitor in attracting more mobile Internet subscribers. By the end of June, our mobile Internet subscribers monthly share which – 33.5% which was the highest in the market. We will continue to support that this growth momentum and the marketing [ph] leadership in the future. Since our [inaudible] penetration rate is already high. We continue to focus on customer retention and migration to higher sphere service. We are also focusing on gaining more customers by promoting convergence trend combining fiber with Wi-Fi, family craft [ph] and other value-added service. Now, President Shih would like to lead you through our business overview.
Shih Mu-Piao: Thank you, Chairman Lee. Please refer to slide 5 for our mobile business. By the end of the second quarter, mobile Internet subscriber amounted to 3.17 million representing strong growth of 59% year-over-year. Our mobile data revenue growth rate was 35% year-over-year, the highest among the mobile operators. We believe that this success was mainly due to our aggressive promotion trends which not only attract mid- to low-tier smartphone users, but also have encouraged 2G subscribers to upgrade to the 3G network through our attractive data plan. On slide 6, the successful promotion targeting mid-to-low tier smartphone users help lift [ph] our smartphone penetration to 47%. Smartphone sales as a percentage of total handset sold increased to 86% in the second quarter. Furthermore, among all the smartphone models we sold during the quarter, mid-to-low tier models accounted for 52% comparing with only 44% in the first quarter. We will continue this effort to enlarge our mobile Internet subscriber base. Slide 7 shows the result for our broadband business. During the quarter, we continue to see a steady migration of subscribers to a higher speed of fiber services. We experienced over 50% year-over-year growth in the number of subscribers opting for connection speed of 50 [ph] megabits per second and higher, reaching more than 1.02 million by the end of the second quarter. Overall, even though total broadband subscriber numbers remained flat for the past several quarters, we continue to encourage our subscriber to migrate to higher speed of fiber offering by offering attractive promotional plans that combine our fiber solution with Wi-Fi, family [inaudible] and all other value-added services. Additionally, we are targeting SMEs and the machine-to-machine applications to stimulate further broadband usage. On slide 8, our IPTV revenue increased by over 26% year-over-year and our advertisement revenue doubled in the second quarter of 2013. We expect the advertisement revenue will continue to grow throughout the remainder of the year. In addition, the household using [ph] TV rate [ph] continue to increase in the last two quarters which demonstrate our success to cultivate customer stickiness [ph]. To further stimulate the subscriber growth, we will continue offering convergence trends to cross-sell our MOD and other broadband services. On slide 9, we continue to leverage the core telecom infrastructural and the services to expand our ICT and the cloud business. In the first half of this year, our cloud business revenue tripled year-over-year and the Personal Cloud subscriber reached to 920,000. Slide 11 provides an update on the regulatory front. The NCC announced seven qualified bidders yesterday. We are one of the qualifiers and we are prepared for the bidding process which will commence in September. In addition, regarding the Telecom Act, Executive Yuan returned the amendment proposal to NCC again on July 16 and decided that the NCC will submit the Digital Convergence Regulation [ph] draft in February next year instead. Now, I would like to hand it over to Dr. Yeh to go through our financial results.
Shu Yeh: Thank you, President Shih and good day everyone. Thanks for joining us today. I will review our financial result in detail beginning with slide 13. On slide 13 are our income statement highlights. Total revenue for the second quarter grew by 2.6%, and operating costs and expenses increased by 8.7% year-over-year. Our income from operation and the net income decreased by 5.6% and 7% respectively. If factoring out that one-time bad [ph] debt reversal and non-cash impairment loss on real estate in 2012 as well as the lower construction revenue from the development subsidiary, our income from operation would be flat year-over-year. In addition, the EBITDA margin decreased from 39.47% to 36.99% in the second quarter as compared to the same period last year. Please refer to slide 14 for our business segment revenues. Our total revenue increase was driven by 35.1% year-over-year growth in mobile VAS revenue and 16.1% growth in handset sales. This strong growth was mainly driven by an increase in mobile Internet subscribers. Local voice service revenue decreased by 8% mainly due to mobile and the VoIP substitution. The 4.1% revenue decline in the DLD business was primarily due to mobile substitution. Broadband revenue decreased by 1.8% mainly attributable to the NCC tariff reductions for both ADSL and fiber service tariff. The ADSL revenue decline offset the fiber revenue growth. Mobile voice revenue decreased 5.7% due to promotional package and mandatory tariff reductions. Moving on slide 15, you can see that our operating costs and expenses increased 8.7% year-over-year. The increase in operating costs was mainly due to the rising costs of handsets sold resulting from strong mobile Internet and handset sales growth during the quarter. Operating expenses increased primarily because of bad debt reversal of NT$1.5 billion last year. As shown on slide 16, cash flow from operating activity increased to NT$19.4 billion during the second quarter. This was mainly due to the delay of bill collections from the first quarter to the second quarter associated with the holiday seasons. We maintain a strong cash position with cash and the cash equivalent amounting to NT$59 billion as of June 30 this year. The EBITDA margin decrease was primarily due to the tariff cuts and the higher handset sales of which the EBITDA margin is lower than our traditional telecom services. Slide 17 shows our 2013 second quarter results as compared to our guidance for the quarter. We achieved relatively higher revenue operating income, net income and the EBITDA as compared to our second quarter guidance which was mainly attributable to higher handset sales and mobile VAS revenue. However, EBITDA margin was lower than expected due to the lower margin for handset. Currently, we expect our full year operating result to remain in line with our earlier guidance. Lastly, on slide 18, our capital expenditure will continue to focus on broadband and the mobile network construction and cloud deployment including cloud datacenter construction. We will review our CapEx budget and execution plan on a regular basis focusing on making the most cost-effective spending decision possible. Thank you for your attention. And now, we would like to open up for questions.
Operator: Thank you. We will now begin our question-and-answer session. (Operator Instruction) First question is from Joseph Quinn, Macquarie, Taiwan. Please go ahead.
Joseph Quinn – Macquarie: Thank you and congratulations on your results. I just have a few questions that hopefully you can help me with. Firstly, on the mobile data side, you are doing particularly well and I congratulate you on the new data packages that you’re offering. On that side of things, can I just check with you, how do you find the competition in that space as you’re moving more to the mid-to-low end? I do see a lot more aggression from both Tai Mobile [ph] and Far EasTone? The second question is around the broadband and fixed-line side of your business. It does seem that once we’re looking at the progression and revenue there, it seems to be a negative trajectory and you’re seeing constant year-on-year declines. Is there a focus here from the management in terms of how do you reduce cost in that part of the business? I’m just wondering, can you maybe explain some of the efforts on that side given the declining revenues? And then on the 4G side of things, I understand maybe you can’t really discuss too much about your intentions or bidding in mind [ph], et cetera, but can you discuss a little bit about the fact that with 4G licenses on the related CapEx there will obviously be a quite high level of expenditure needed? Will Chunghwa be willing to take on some debts to account to that? And then, lastly, is on your overseas investments, there has been some local discussion about your looking to do more overseas investments and particularly collaboration with Orange. Can you give us some more color on that side of things as well? Thank you.
Shih Mu-Piao: So the mobile data now is that – increased very good condition because we have introduced 52% of the mid-to-low tier smartphone. So we encourage the upgrade of the 2G to 3G. So we already have more than 3.1 million mobile Internet subscribers, so – we are expected to reach 3.5 million by the end of this year. So it’s a good situation for the data users increased.
Joseph Quinn – Macquarie: Are you finding more competition, however, as you’re moving into the more mid-to-low end from Chunghwa and Far EasTone?
Shih Mu-Piao: I think our competitor has a very similar trend but because the high-end users have already subscribed the services, so we hope that more users can subscribe by reducing the so called tariff. So we introduced the tiered pricing, not always high tariff, so it’s a good news.
Joseph Quinn – Macquarie: Yes, thank you.
Shu Yeh: So the 4G because we already – been one of the qualifiers, so we start from the [inaudible] next month, so will go to auction to the bidding, the price bidding. So we expect that next year we will have some CapEx on the 4G. This year, we have lot of the investment on 3G, so next year, we will move most of the CapEx to 4G, so total, maybe a little bit increase but not so big increase.
Lee Yen-Sung: For broadband definitely, and how to close [ph] the reduce cost, we think that because of [inaudible] cable competition or proven service [ph] and then also, the number of the subscribers may be choose [ph] some certification. So how to close [ph] the reduce cost, we use the data mining to look for the precision marketing and also precision networking construction especially [ph] for the fiber to the home construction. Now, for the overseas investment when we collaborate with Orange, we’re trying to collaborate with Orange to acquire the license of the [inaudible]. And if we cannot give the licenses, we fear we’ll collaborate with Orange to look for any other opportunities to look back to construction maybe the tower or other network construction or even we can collaborate with Orange to look for – if we can give the operation from the licenses operator.
Joseph Quinn – Macquarie: Okay. Thank you. Can I just follow up on the broadband when you’re relating to cost – the cost reduction, I can see that you’re highlighting strategies themselves but is there direct ways that you can reduce cost either from a personnel point of view or from store point of view or reallocating those personnel to better divisions maybe your faster growth in mobile data?
Lee Yen-Sung: As we’re trying to look for some resource location [ph] from Internet, so this is the direction we’re trying to look for and use this strategy to reduce that related cost to that.
Joseph Quinn – Macquarie: Okay. And just on the 4G side of things, you did say that the CapEx may be a little bit higher next year, but – and I’m more wondering in terms of your debt, do you think the company will need to raise debts or is your cash position okay to support 4G license auction, CapEx, dividends, et cetera?
Shu Yeh: I think at this moment, we think that we would have sufficient cash available. So, at this moment, we don’t consider debt-raising. But if possible in the future, if necessary, it will be possible. Thank you.
Joseph Quinn – Macquarie: Okay. Thanks. And just a follow up on the Myanmar, is this something that in terms of the risk aspect or the overseas investments, how closely do you look at this? Obviously, it seems you want to cooperate with Orange, like is there an understanding of how much risk you’re willing to take on board in relation to these overseas investments?
Shih Mu-Piao: Yes, because the consortium is organized by Orange and the Marubeni in Japan and Chunghwa Telecom, we – still it’s non-disclosure on the detail. But anyway, with one of the – Chunghwa’s policy to invest on other countries especially in South East Asia.
Joseph Quinn – Macquarie: Okay. Thank you very much.
Operator: The second question is coming from Chate Bend, Credit Suisse, Hong Kong. Please go ahead.
Chate Bend – Credit Suisse: Thank you very much for the opportunity to ask the questions and good evening everyone. I have four questions. The first question is regarding your year-on-year growth in mobile data revenue. I understand that you also benefit from the expiration of the discount you’ve previously did on the mobile data revenue. I just want to understand in the second quarter, if you exclude that impact from that expiration, then what would be your year-on-year growth in mobile data revenue if you can share? Second question is regarding the broadband subscribers and your target. I understand that quarter-on-quarter actually is your total broadband subscriber declined quarter-on-quarter but you are still targeting quite a growth into the end of the year. I just want to understand that is there anything in the pipeline that would actually help you in achieving the target to grow the total subscribers in the broadband? The third question is on the operating performance to-date, do you have the confidence that you would be able to return to growth in term of profit into next year or you are looking more in a two, three-year view? And last question, if you may, the few year CapEx outlook if – should we expect it to increase from what have been FY ‘13 and you see some room for that to actually taper down? Thank you.
Shu Yeh: Mobile growth targeted each year, I think the growth of the broadband subscriber is – [inaudible] but we can – we try to increase the [inaudible] broadband subscriber strong – may become strong SME subscriber and then maybe also we can – some subscriber maybe come from IOT, machine-to-machine service. So even the subscriber maybe not so – achieve our target there but we think the overall broadband service will be better growth [ph]. On the first question regarding the mobile data revenue growth, exclude the 20% discount [inaudible]. The half-year growth rate is 29.8% year – the first half compared to last year if we take the 20% off away.
Chate Bend – Credit Suisse: Yes. The final two questions and the first one is –
Shu Yeh: Now, for the CapEx, as we indicated before, we believe next year would be higher than this year and that then you would label off – it would fall back gradually over the next few years. But in general, it will stay high for the next few years. Thank you.
Chate Bend – Credit Suisse: Yes. The last question is based on your operating performance to-date, what you have achieved so far? Do you think that it can return to growth in terms of profitability next year or we are looking at more like two to three years view? Thank you.
Lee Yen-Sung: The operating performance, currently, we tried to set up or tried to consult second business area like ICT, like cloud services, also some [inaudible] services. We expect definitely the income revenue would be achieved around 10% of the total dividend at maybe three years after.
Operator: All right. Thank you very much. (Operator Instructions) Next in line is Lucy Liu from JP Morgan. Go ahead please.
Lucy Liu – JP Morgan: Hi. Thank you. I have three questions. First one, I think previously, you mentioned about tier pricing, so can I just confirm that, is it on your agenda that you want to move to tier pricing? If so, you say you want to remove the unlimited data pricing and if so, which will be the time we should expect? And, secondly, also on 4G, I understand you mentioned about the 4G prices [ph], so I wonder how quickly do you think you will grow out of 4G network like roughly in how many years and what kind of the scale are you expecting? Do you want to fully upgrade a whole network from 3G to 4G or it will be mainly a hot spot strategy? Lastly is on dividend, so just wondering any change or any new guidance on the dividends? Thank you.
Shih Mu-Piao: Yes. There’s a discussion that when to remove the unlimited package because it will depend on the competition and our regulator. The regulator now is trying to allow the operator to – using the tier pricing. So we think we will evaluate the tier pricing and how can make the so called fair user policy [ph] available. I think that the 4G is a good time to make the decision but so far we have no final decision yet. So the 4G roll out, because the spectrum now we are bidding is 700; 900; 1,800, we still need to depend on what spectrum we got. For 1,800, maybe it’s more easy to rollout for the current base station [ph] and some smartphones like iPhone 5 is already available for 1,800, for LTE. So, according to our preliminary [inaudible], maybe at one and one and a half year, we can launch the service. But the requirement for NCC is very deep – very low, it’s only 250 base station you can launch the service, but we don’t think it’s good enough. So we expect maybe one year or one and a half year we can launch the commercial LTE service.
Lucy Liu – JP Morgan: Thank you. Can I just follow up on that? So, you mean that you basically want to rollout the whole network to a larger scale before you start considering launching the service or you think you are adjusted to [ph] – on a very gradual basis and maybe just inside from several thousand base stations in this popular city and then you can start [inaudible] already?
Shih Mu-Piao: Actually, we think because we still have a 3G as a basic network, so we start from metropolitan city, and we have Taipei, Taichung, Guzheng [ph] for example, and we can launch the services if we have some continuous coverage in the city and we can launch the – for LTE services. I think competition is very important. We will face the competition and it depends on the competition situation. We will be maybe the number one or number two, depending on it. But I think it’s very close for every operation [ph].
Lucy Liu – JP Morgan: Thanks.
Shih Mu-Piao: For the dividend guidance, it’s still too early to tell what the Board that will do next year. It’s the Board’s right to decide this. And we haven’t paid this year dividend yet, so we haven’t really discussed the issue with the Board. Thank you.
Lucy Liu – JP Morgan: Okay. Thank you.
Operator: Next question is from Jack Xu from Sinopac Securities. Go ahead please and ask a question.
Jack Xu – Sinopac Securities: Thank you. And my first question is what are the strategy for the mid and the lower end smartphone transition rate [ph] growth because it will affect all of our ARPU? Thank you.
Shih Mu-Piao: The growth strategy, currently, we would like to maintain the momentum by further introducing mid-to-low tier smartphone and tablet, very important. Currently, we have lot of tablet to expand the mobile Internet subscriber base; further promoting mobile Internet by accelerating migration of 2G customer to 3G mobile Internet subscriber. We have over more than 20 low-priced in the larger screen, smartphone handset model. And also for low-tier smartphone prices, low price brand to increase the smartphone [ph] [inaudible]. Some senior people, I think it is a good opportunity because we have a lot of friends that they say the senior people like to have the big screen tablet to – and also data package. So we think it’s a good – we see a lot of growth rolling [ph] in the future. So ARPU, the mid-to-low tier ARPU, yes, is a little bit low [ph] compared with the high-end users, but we have a low subsidy. So the final result is we have even better performance for operator. Thank you.
Jack Xu – Sinopac Securities: My second question – thank you. My second question is obviously, you [inaudible] but for the NCC upgrade, the seven – seven [ph] a different company, if they will – they will compete for the [inaudible] license or what do you feel in the – is it a negative impact for us or a positive impact for us? Thank you.
Shih Mu-Piao: The NCC have – it’s only – have 135 megahertz spectrum. Now, we have seven competitors, so we can see the situation is very competitive. I mean, the final result will depend on who will withdraw from the bidding. So the NCC’s policies encourage the competition, but as an incumbent operator, we have a very strong reading or decision. We are ready to go to the bidding because it is very important for Chunghwa to evolve from 3G to 4G. So it’s a must for Chunghwa. So we are very confident we will get the license, but it depends on how much cost we should pay.
Jack Xu – Sinopac Securities: Thank you.
Shih Mu-Piao: I think seven is too many according to every – people discussed, seven is just too many. So the reasonable final window should be 4 or 5, that’s my personal observation.
Jack Xu – Sinopac Securities: Thank you.
Operator: As a reminder, we are now in question-and-answer session. (Operator instructions) Your next question is from Lucy Liu, JP Morgan. Go ahead please.
Lucy Liu – JP Morgan: Hi, thank you. I just have two follow-up questions. One is – I totally agree, I think you just mentioned the reasonable final spectrum, we know it’s probably just – should be around 4 to 5. But even let’s assume 4 to 5, we’re still facing new competitor, a new competition into the market. I think they might not have 3G or 3G existing network but the might work with someone else to either acquire or do NPNL [ph]. So do you view the competition and also the market dynamics after the 4G spectrum? Thank you.
Shih Mu-Piao: This question is very interesting. But it may – not suitable to answer from Chunghwa’s point of view. My personal point is because as a voice is still very important for mobile users, LTE is a high-speed mobile Internet majorly for data usage. So the voice now is using [inaudible]. In the future, maybe go to Voice over LTE. So for a newcomer or new player, if they don’t have 3G or 2G is very, very difficult, but according through the NCC regulation we are asked to roam – to offer the roaming services to the new player. So I think it’s – they are – we’d expect the newcomer to go through the market, but it looks like that – take times to acquire the location for the base station construction. For the incumbent operator, I think we have many advantages over the newcomers, but we will see, we will see how the new competitors solve the problem of acquiring that base stations because now it’s very crowded for a location because we already have five operator in the same location, if they are another newcomer maybe it’s too many. So according to the news report, that some of the 3G – one of the operator, 3G operator, may have an opportunity to be acquired by new player, but we just have no comment on the situation. So we think Taiwan would be a very, very crowded market, very competitive market in the 4G area. Thank you.
Lucy Liu – JP Morgan: But actually, I understand, I think, although there are three or four 3G players in the market now, but I really don’t think Taiwan market is very competitive or very nasty [ph]. I think the market players tend to be quite rational in competition, so you [inaudible] with the newcomer into the market just kind of rational can be maintained.
Shih Mu-Piao: Yes, because now we have five operators in the 3G, Chunghwa Telecom, Taiwan Mobile, Far EastTone and Weeble [ph]. And the APB [ph] [inaudible], Asia Pacific Broadband Network [ph]. So it’s already very competitive. If allowed the more player come in, maybe it’s a more severe competition especially the joint manufacturer, the [inaudible] joined again. So I think you know the potential of the Huawei [ph] Group if they want to join again, but we need to wait and see, we have no comment on what they will [inaudible].
Lucy Liu – JP Morgan: Okay. Thank you for that, sir. My last question is on the value-added service on your state mobile data service growth. So you mentioned earlier after – excluding their 20% discount impact of the growth around 28%, this year, I compare the number to Far EasTone power [ph] mobile phone, it seems like you guys are still a little bit falling behind, but you’re on a positive momentum to catch up. So I just want to note, if you – in the rest of the year, even to next year, you were eventually catch up with the competitors or you think you’re now within a higher and higher base in fact; the growth will be – with such, it would even slow down going forward?
Shih Mu-Piao: Yes, I think we exclude the 20% discount. We are a little bit low than our competitors, but we think we have – very confident that we can catch up by having some promotion programs and we have some tablets and a mid-to-low tier smartphone promotion. Yes, so we will do our best to catch up. Thank you.
Lucy Liu – JP Morgan: Okay. So, thanks so much.
Operator: Next question is from Sydney Zhang, Bank of America Merrill Lynch. Go ahead please.
Sydney Zhang – Bank of America Merrill Lynch: Hi, [inaudible]. Yes, this is Sydney, may I ask just one question. It’s really on – the respective [ph] concern about really on the voice revenue, voice revenues given 4G is coming and the fact that mobile Internet speed is going to be provided on the 4G smartphones, given Chunghwa Telecom and also your peers almost have the 70% of revenue coming from voice and SMS, I think given all this in line and, I mean, those OTT type of application is going to take in as becoming more popular. I just want to check what’s your long-term plan, how to mitigate the risk from voice revenue loss in the future? Do you have any plan to partner with any OTT application providers to work together? Thanks.
Shih Mu-Piao: Yes, the OTT is a very – [Technical Difficulty]. So I think that the current situation for the – operator, we have a certain situation. So, we are – in the event of stabilizing this service is to enhance – okay, so the OTT can take away some voice SMS [inaudible]. So, all the operators now is trying to do some effort even at the ITU level. They still have a dialogue between the OTT players and the operators, but does not have a good solution so far. So we need to consider the pricing structure because if 4G is coming, that means your speed and quality is much better than that [ph]. If we cannot change the all-you-can-eat [ph] structure and then to do something, that would mean a problem. So, we also try to work this – some providers to solve the problem but there is the – it is really challenging anyway. So, any comment?
Sydney Zhang – Bank of America Merrill Lynch: Do you have any plan to launch this kind of – the flat voice pricing to provide like unlimited voice like what providers on the US carriers are doing?
Shih Mu-Piao: Yes, we will see the trend that voice would be cheaper. I learned from the UK that they have a quite high charge for the amount [ph] of the data package and offer several thousand free voice call and unlimited SMS. It’s already been practiced in the UK. For this – for our country, we need to evaluate how to increase the data charge. Otherwise, the total revenue we’re having some inference [ph]. So yes, one of our price plan for LTE is unlimited voice. In the 4G, we will have a plan but not today because today, the all-you-can-eat [ph] is the only charge in NT$950. It’s too low, cannot compensate for the voice free. So in the EG, yes, we will have the plan to offer the – okay.
Sydney Zhang – Bank of America Merrill Lynch: Okay. Thank you.
Shih Mu-Piao: Yes, but it is too early to say this.
Operator: Thank you. Next question is from Joseph Quinn from Macquarie Taiwan. Go ahead please.
Joseph Quinn – Macquarie Taiwan: Thank you. Just two quick follow-up questions. Firstly, on the broadband side; can you go into a bit more detail, obviously, you’ve mentioned there’s more competition from the cable operators as well? I have seen recently there’s been some talk about the reduction and usage of the high – larger screen TVs, the bundles or MOD. I’m just wondering, are you seeing an overall slowdown in the take up of bundles of TVs with MOD as well? Is that becoming more difficult to achieve? And then the second question is on the new 4G entrance. You did mention that you may be required by NCC to offer roaming to the new players? Can you just go into that a little bit more detail, is that just Chunghwa Telecom required to roaming services for the new entrance, or would that be of all players that have existing 3G services? Thank you.
Shih Mu-Piao: Second question is very simple. All the existing operators have the obligation to offer the roaming service, but that is still subjected to negotiation.
Joseph Quinn – Macquarie Taiwan: Okay. So this is something that the NCC would like you to be open too but not necessarily force you to offer. Is that correct?
Shih Mu-Piao: Only if they launched the 4G, then they can ask the 3G operator to have their roaming. But they’re not for 4G to 4G.
Joseph Quinn – Macquarie Taiwan: Okay. But do they know – is there – will it be a direct requirement from NCC or is this something that is on a case-by-case basis?
Shih Mu-Piao: It’s a case by case because the interconnection or the roaming free [ph] is subject to negotiation.
Joseph Quinn – Macquarie Taiwan: Okay.
Shih Mu-Piao: It’s an NCC requirement, yes, it’s asked that the 3G operator needs to allow for the new entrance to go – to have the roaming services.
Joseph Quinn – Macquarie Taiwan: Okay. Thank you.
Lee Yen-Sung: Well, operating services under this TV set [ph], I think previously we cooperate after they first come to the shares of these packages. Now we may have to have a corporate, they have more [inaudible] or as a brand TV set. But we think because this packaging is not – is maybe – not so much or so many [inaudible] where [inaudible] this packaging. So this is maybe – the shares’ room would be limited.
Joseph Quinn – Macquarie Taiwan: So is it something – so can I view this as maybe an old promotion on, maybe you’re looking at something else to improve those broadband subs or to defend against cable subscribers?
Lee Yen-Sung: I think the whole broadband service will be – look for new – or the – other promotion packages that we bundle with other broadband service on – like and also bundle with Wi-Fi service and bundle with – like family [inaudible] personnel service. So this is – we maybe look for other promotion packages. All right. And also for – include new subscriber, we just look for maybe the SME subscriber and also at the IOT services – IOT project come from – like government – local government [ph].
Joseph Quinn – Macquarie Taiwan: Thank you. That’s very helpful. Just in terms of the – on the overall market, so it does seem that the domestic consumer market is pretty much saturated for you guys if you’re looking more towards SME. Do you find that the cable operators competing with you, do you find subscribers are moving away just because of price or is there anything else you feel they’re moving away because of –
Shih Mu-Piao: The MOD is a very important – is the HD program now. So we have a very high-quality programs that are not available in the cable. So, the content will be one of the key competitiveness. So the pricing structure for cable will be changed. So they are still in the – there’s a [inaudible] for discussion about the new pricing structure for cable. So in the future, we think MOD will be more competitive, very – some advantage over the cable.
Joseph Quinn – Macquarie Taiwan: Okay, thank you.
Operator: We are now in question-and-answer session. (Operator Instructions) If there are no further questions, I would send it back over to Chairman Lee.
Lee Yen-Sung: Thank you all of you who participated in this second quarter earnings result. Thank you very much. Thank you all of you.
Operator: We thank you for your participation in Chunghwa Telecom’s conference. There will be a webcast replay within an hour after the conference. Please visit www.cht.com.tw/ir under the IR Calendar Section. You may disconnect now. Good-bye.